Robin John Harries: Good morning, everyone, and welcome to our Q3 earnings call. I'm very pleased with the development of our last quarter and with the opportunities ahead of us both in mobile and with waipu.tv. In mobile, we see strong opportunities for efficient customer growth through optimized marketing mix, through optimized web shops, through a reduction in churn and through the acquisition of mobilezone. And with waipu.tv we also believe that there is huge potential for further customer growth and even more profitability. I'm very excited about the final sprint of The Year and an initiative-rich '26, which will mark our transformation into an AI-first telco. There's a lot to do, and we are on it and looking forward to it. I would like to thank our entire team for their hard work and their courage to discover new paths. I'm truly enjoying this. And I'm -- and we are just getting started. I also want to thank our CFO, Ingo Arnold, working with him is a real pleasure. We have rolled up our sleeves and he has been a tremendous support. Let's dive into the presentation and our key messages. We can confirm our '25 guidance. We are on track. We can show strong key financials. Our most important postpaid and TV service revenues are growing and our adjusted EBITDA grew nicely 1.6% for the first 9 months and for the last quarter, even 4%, Waipu.tv IPTV has been a driver in our EBITDA, contributes nicely. It's a fantastic product, not only growing in terms of customers but also getting more and more profitable. Our free cash flow in the first 9 months is growing nicely with 2.8%. And yes, so we are on track in Q3, impacted by the communicated tax one-off, but fully on track. We are also very pleased with our customer growth. Postpaid net adds even exceeded our expectations. Waipu.tv growth recovers, and we are here on a strong path, and we will continue. freenet TV is declining, but this was also expected. We are focusing on waipu.tv by continuing to monetize our user base at freenet TV. We can confirm our '25 guidance. And when you look into our strategic initiatives in the Mobile segment for our organic growth, we are focusing on 3 pillars. It's optimization of our marketing mix and optimization of our web shops and reducing churn. In terms of marketing mix, we are shifting budgets. We look at the return on ad spend. We don't do just pure brand marketing. We always connect it with direct performance impact, clear messages. And yes, so we improved the transparency of our campaigns. We improved the reporting. We really put the money where we see a direct impact. Conversion rates, I mentioned it last time, the conversion rates on our web shops, they are not there yet where we want to have them. They're not great yet, but we are getting better and better, and we see strong improvements in the last quarter. The page speed improved drastically. We have a better user experience. We create kind of urgencies on our website. All of this helps. And there's still a lot of stuff to do, but we can already see that it's working. And the third pillar is that we are working on churn reduction. If you look at the top 2 reasons why users change their mobile provider, it's either they get a better offer somewhere or because they are not happy about the network connection. So this does not make sense when you look at freenet because we are really offering great deals. We are able to match the most aggressive offers, and we provide all networks. So there's obviously no reason for users to leave us. And so therefore, we are working on it. We see a huge potential in reducing our churn. We have created more than or developed more than 50 initiatives to reduce the churn to bring it down, and we are working on it. And yes, so this is, I think, one of our drivers -- success drivers also for next year. When we look into our customer value management, we also try to use AI wherever we can use it. So whether we look at the customer service, if you look at telesales, if you look at smart pricing, so we try to apply it everywhere, do smart tests, don't do crazy things, but there's -- we believe there's huge potential and we are on it. And besides all of these 3 pillars, of course, we are also constantly trying to improve our other channels. We are very happy about our stable retail business with our almost 500 stores, our strong online and off-line partners, and we are optimizing this as well. In September, we started our first performance-based brand marketing campaign with klarmobil. So we produced a new TV spot. We changed the website, improved the UX. And there was a clear message. So when you look at the TV spot, you can see that there was clear branding, but also clear messaging, a clear offer, and this was reflected in the successful numbers. We could increase the visits significantly and also the conversions and sales. This was a very successful campaign. We have the next campaign in October. We see and also the team see that it's working. It's driving sales on one hand. And on the other hand, it will also create more brand awareness. And klarmobil is one of our top brands. Together with freenet, it's important that we increase the unaided brand awareness and performance-based marketing campaigns will help to reach this goal. We are very happy about the mobile subscriber growth in the first 9 months and also the last quarter. Within the first 9 months, we could increase our customer base, 190,000 postpaid customers. If you look at our historic data numbers, you can see that this is quite a lot, also the last quarter, very successful also when you compare it to last year. So we can see that the initiatives, the things that we changed that they are working. We also are very happy about the renewal of our -- about the 5-year renewal of our strong partnership with the MediaMarktSaturn, it's important channel for us. And yes, next steps, so we will keep doing what we have started in the last quarter, looks promising. And besides this, there's also one big thing that's coming at the moment when you look at our -- I mean, the strongest brand that we have is freenet and we do advertising with freenet. So there, you can see our strongest product, mobile phones, mobile plans. But at the moment, it's on the domain freenet-mobilfunk.de. And if you, for example, go to freenet.de, you can find the news and e-mail portal. So -- and this is not ideal, yes. So you cannot do marketing efficiently with freenet if people or if users then search on Google and end up on freenet.de where they don't find the offers that you do advertising for. So this is something that we changed, we made the decision to change it, and this will be in place beginning of next year. And then we will do advertising for mobile phones and mobile plans on freenet.de. And then we will also start marketing campaigns, performance-based marketing campaigns for freenet.de. So this will increase the conversion. This will be much more efficient than in the past. And so then we believe that this will be a nice potential for the next year to really increase numbers for freenet and increase the unaided brand awareness for freenet as well. And besides this, one big thing is you heard about it, we already disclosed it, we bought mobilezone. This is a strategic acquisition. mobilezone, it's a really strong company. It's a sales machine. So they -- every year, they generate over -- they close over 1 million contracts. It's one of our strongest competitors. They are very successful, they have many nice brands like sparhandy, deinhandy. And yes, so we acquired them. Yesterday, there was also news that the antitrust approved the acquisition. So we are in the process of closing the deal. And this will give us much more -- even more sales power. So consolidation in the market, I think it's healthy, makes a lot of sense if you look at allocating resources about the offerings, so makes us even stronger. We'll -- and I think it's also good for the entire industry, for our partners. We have really healthy relationships to Vodafone, Telefonica, Telecom also to 1&1. And so we believe that this makes us even stronger and that will enable us to further support them. Waipu.tv, I mentioned it. We believe it's a fantastic company. We could show in Q3 subscriber growth again and also nice profitability. It's -- for us, it's important that we have a company that's not only growing, but also getting more and more profitable. I think we proved both of this with waipu.tv, very happy about it, it's developing as expected. So -- and we also believe that in Q4, we will see even stronger growth and that we are on track to reach our guidance for '25. Waipu.tv has started -- has just started a new campaign which is promising it's -- they offer a start-up package with a TV stick and a no-frills product for just not so much money. It's an entry product and which will help to -- for people to experience IPTV and this great product. And so afterwards, we believe that there will be upselling opportunities. And besides this, we also started to do marketing with bundles where we bundle mobile plans together with waipu. And all of this, we believe, is really is -- makes a lot of sense and will bring us or leads us into the right direction. Yes, with this, I hand over to Ingo.
Ingo Arnold: Thank you, Robin. So I start as normal with the group financials. I think we are -- and Robin already commented, I think from my side, there's nothing to add. We are really, really happy with what we generated during the first 9 months of the year 2025. We are totally on track to reach our guidance. So in terms of revenues, you see in the quarter, a slight decrease of revenues, I think, main reason, and we will -- I think you will hear the name of the company, The Cloud more often than in the years when we owned the company today. But I think it is important to show the deviations what we do have in -- on the group level, but also on the mobile level. So here, I think what we lost here in revenues with the sale of The Cloud is something like EUR 10 million. So without it, also in Q3, there would be a small increase of revenues. So all in, it's a confirmation of the guidance where we promised moderate growth for the gross profit. I think, much more positive than the revenue development. We see an increase of the gross profit in the quarter by even 7% on a 9-year base, 4.3%. It is definitely driven by the IPTV. I think we are so happy that this is the first year where we do not only generate growth in the base of waipu.tv but where it is also possible to make the business much, much more profitable. And you see the effect here even on a group level. Moving to the adjusted EBITDA, strong quarter, 130 -- nearly EUR 138 million, which brings us to EUR 395 million up to the end of September. And I think I did the calculation in August. I do the calculation again what is necessary to reach the full year guidance. I think it is relatively clear that from EUR 395 million you need a quarter and you need an EBITDA of something between EUR 125 million and EUR 145 million to reach the guidance. And compared to the performance in the third quarter, I think this looks totally doable. And I'm even more convinced now than I was in August to reach it. So moving to the Mobile business. I think, yes, definitely, the revenue looks a little bit disappointing. But on the one hand, again here, there is the reason from the missing revenues of The Cloud in the full quarter. And if you would add the EUR 10.3 million, the difference would be much smaller. On the other hand, we -- and this is something what we already commented in after Q2, we had some no-frills, some prepaid revenues where we could not generate any profit. And to make administration easier, we cut some -- we terminated some of these contracts. This makes a lot of sense from our side. It has a few negative effects on revenue. But as you see, moving to gross profit, this does not have any profit effect. The gross profit in Q3 slightly decreasing. Also here, it was something like EUR 3.5 million, which was missing from The Cloud. If you would add it, I would say it is something like a stable development, Q3 to Q3 and the Q3 '24 was a strong one. So all in, there is an increase in gross profit to nearly EUR 527 million. Moving to the adjusted EBITDA. Also here, we are near to what we had last year. It's a stable development and making the same math, what I did on the group level, what we can see here is that we need an EBITDA of something like between EUR 100 million to EUR 120 million in the fourth quarter, and then we would reach the guidance. Maybe a small comment to marketing spending because we discussed it intensively after the second quarter. And the good news is that even with all the campaigns, what Robin was talking about and all the action and the big growth in the customer base, it was possible to decrease the marketing spending in Q3. So I think in the first half of the year, we spent something like EUR 6 million more in '25 than in '24. But in Q3, we spent less than last year. I think we have some long-running contracts with some brand marketing partners, which does not make that much sense. But I think it is not easy to terminate these contracts. Some of them are still running. So I think there will be a full saving effect from stopping these contracts in 2026 but also in Q3 and in Q4, we will see something comparable. Marketing spendings are down. And I think the results are still affected from the negative first half spending what we saw. Moving to some KPIs of the -- in the mobile business. Yes, Robin already commented. I'm really surprised how strong we are in terms of postpaid net adds. I think we discussed during the year to reach something like 200,000 net adds for the full year time. I think definitely, it will be far above 200,000, what we will reach I think it is still a surprising quarter as ever, the fourth quarter because of Black Week and so on. But I think we are more than on track here to grow the postpaid customer base. Well, we are not that good on track, but I think this is a market problem what the whole market does have is still that the ARPU is decreasing. So what we see at the moment with the growth, what we generate, it is possible to overcompensate the ARPU effect and I'm positive and optimistic that this will also continue in the next quarters. But I think it is a pity and it is market driven. I think we discussed it already in the other quarters. It's not a freenet problem. The market is slightly aggressive. Still, we hope we can come back to a rational, a more rational behavior in the mobile market here. So we are not that unhappy that there will be a CEO change at Telefonica because we saw them very aggressive in the last quarter. So I think this could help to repair the market here. So we are basically optimistic for the following quarters, but -- and this is clearly shown on this chart here. At the moment, the negative trend for the ARPU is continuing. But clear message service revenues are slightly increasing. So it's possible for us to compensate it. Digital Lifestyle revenues, the last picture here on this chart, I think you all know that we were behind plans at the beginning of the year. We could close the gap now. So we are totally on track compared to last year. And yes, I'm even positive for the fourth quarter to see a slight increase here. Moving to the successful TV business, revenues and all financials are mainly driven by the positive waipu.tv developments. What we do see in revenues is in the quarter and even an increase by 10% for the full year, it increased by 7.5%. I think the fourth quarter was a little bit influenced by a media barter deal. What is a media barter deal? It is that we have these deals, these contracts with the private channels. And therefore, we get on a -- at the end of the day, we get some marketing to place -- some channel plays there for free but we have to show it in our figures. So on the one hand, you see it on the revenue. But on the other hand, you see it on the marketing cost. So at the end of the day, these marketing campaigns are for free. But you show it on every level here. And so therefore, we made it clear or we try to make it clear and we wanted to make it clear because especially the development in revenues and in gross profit is slightly exaggerated from these deals, and we want to have positive figures, but we want to have honest figures. And therefore, we mentioned it here that there is an effect of EUR 5 million even in revenues and in gross profit. On the adjusted EBITDA level, you see that we have an increase compared to last year. Waipu.tv EBITDA year-to-date is something like EUR 25 million. So it's a perfect confirmation that the business cannot only grow but that the business can also generate EBITDA. And I think this is -- I think we discussed it earlier times that we expect something between EUR 30 million and EUR 35 million of EBITDA from the business. And I think we are totally on track here. We have lower marketing spending. This is something what we discussed earlier together. This definitely helps in the fourth quarter. Yes, I think we need some marketing campaigns. We need and we want to generate some growth in the fourth quarter. But I think we are also on an EBITDA level, we are very optimistic to reach the goals what we do have. Last page from my side is the free cash flow bridge. I think -- most of you should not be surprised that we have the negative tax effect. I think we -- to be honest, we expect it for years. And now we really got it. So we had to pay something like EUR 20 million for the period 2015 to 2018. I think we are not at the end of the road here because we also took legal action because we -- I think we had a -- we built provision years ago, and -- but we took legal action now. And -- but the legal proceedings will take years to find an end, but we paid the EUR 20 million now because we have high interest rates to pay here in the meantime. And I think there are good chances to win the case. But for now, we paid the EUR 20 million. And I think let's wait and see. I think I do not expect a decision as long as I am here, as CFO. So -- that could be quite open. But there is a good chance to get the money back. But for now, the tax expenses are higher as expected. On the other hand, change in net working capital. It is a negative of EUR 32 million. I think those of you who are familiar with our working capital figures, know that EUR 26 million out of it is a liability or a reduction of a liability where we have to pay a monthly fee to Media Saturn. So out of it, it is more or less stable. Then the CapEx figure, EUR 26.8 million. It's near to what we saw last year. Lease payments. It's easy to calculate EUR 45 million now. So no surprises and interest payments, EUR 15 million. So I'm quite fine here. I'm also fine with the free cash flow for the guidance for the full year because what do I expect from change in net working capital, maybe some more investments in the fourth quarter into the business. So I expect something like EUR 45 million for the full year. I expect EUR 60 million for taxes, EUR 35 million for CapEx. Lease is easy to calculate, something like EUR 60 million and interest payments nearly to EUR 20 million. So this is also in -- the sum is the same what we expected or what we forecasted at the beginning of the year. And so I think at the end of the day, no surprises for all of us. And therefore, I think the guidance could be reached. So therefore, the overview from my side for the financials. So I would hand over to the operator again to start the Q&A session.
Operator: [Operator Instructions] And the first question comes from Sofija Rakicevic, Goldman Sachs.
Sofija Rakicevic: I have 3 questions, please. The first one is on the guidance. What are the main 4Q drivers that could push results to the low or high end of the guided range? The second one is on mobile. Can you please give us more color on your net adds mix? How many come from the lower end of the market? And how do you perceive quality of your customer base in general? And the last one is on the marketing. So I'm just wondering, can you compete effectively in 4Q without a big marketing increase for both waipu.tv and mobile because we are heading towards Black Friday and Christmas.
Ingo Arnold: Yes, Sofija. Thanks for your questions. From my side for the guidance. I think if I would have a clear plan where we would end, I would already have told you. I think there is good chances to end on an EBITDA level between EUR 520 million and EUR 540 million. I think it is correct that we have to look, and it's -- I think the question to the guidance is linked to your last question about the marketing spending. I think we want to grow the business. And therefore, if we see chances, especially during Black Week to increase our customer base in both segments, then we would -- then we have to decide what we would like to invest. So it's difficult to say from today's point of view. So I cannot -- and this is something I think we have not published a guidance which is -- which narrow band because it is still open. I think we will watch the market. And if there will be chances to grow and to have a profitable growth, we will use the chances. And -- but I think this is the main reason why we are not more concrete on the guidance now because as typical during Black Week and during Christmas business, there could be so many chances. And we do not want to miss chances and opportunities. And therefore, I think it is still open. But basically, I would not expect a big increase in marketing expenses compared to last year because also last year, we had the Black Week and we had a Christmas business where we were. And last year, we were very aggressive. So I would even expect that even with a strong and growth-oriented philosophy in the fourth quarter, I would expect marketing expenses to be lower than last year.
Robin John Harries: And related to your question regarding the mix, we have different brands. We have brands like Mega SIM, Dr. SIM, Happy SIM, where we have aggressive offers and then we have klarmobil, it's something in between. And then we have our premium brand, which is freenet. And at the moment, we -- freenet is not ready yet. I mentioned this. It does not make too much sense to do advertising with freenet if it's not on the freenet.de domain, yes. So therefore, we don't invest into brand marketing campaigns, we rather focus our activities on the other brands like klarmobil and the other brands where we have better conversions. So this is what we are doing at the moment. And so therefore, the -- it will be, I think, relatively similar to the last quarter. But if we look into the next year, I mentioned it that we want to scale the performance based brand marketing investments for freenet as well, and this is an opportunity for us because with freenet, this is our premium brand. We will be able to also sell for more -- for healthier prices with higher ARPUs. We will focus on mobile phones. We will position freenet as a premium brand. And I think this is a nice opportunity for us next year. And then ideally, we have a freenet as our premium brand for mobile phones with nice brand marketing campaigns but based on performance, so we want to sell. Then we have klarmobil our brand for mobile plans for good prices that make a lot of sense. And then we still have our -- where we -- more aggressive brands like Dr. SIM, Happy SIM, Mega SIM where we try to get users in a more aggressive environment and compete against those brands who think they can be more aggressive.
Operator: And the next question is from Ulrich Rathe, Bernstein.
Ulrich Rathe: I have 2 questions, please, if I may. The first one is on the service revenue situation. I think you highlighted that this is owing to the market backdrop at this point in time and that is not necessarily a big concern from a managerial perspective at this point. Could you talk about how you see this unfold. I mean what's your base case here for the market backdrop and the service revenue performance in 2026. And related to that, this sort of slight compression on the service revenues, how does this affect your gross margin? I mean that's ultimately a question how the cost to the MNO hosts scales with service revenue performance? And my second question is on the Media Saturn renewal economics. That's more technicality, I suppose. But you talked about this EUR 5 million incremental barter deal in -- sorry, in the third quarter. Is that related to the renewal, should we add that to the renewal? And have you agreed to a different cost compared to the prior contract with a multiyear contract with Media Saturn in the current renewal which explain the economics of that another EUR 5 million sort of fits into this.
Robin John Harries: This is Robin. Thanks for the question. Regarding the service revenue, as you -- I mean when you look into the Q3 numbers, you can see the ARPU, but you can also see strong mobile growth. Overall, the effect of both is positive, and we expect that also, if we look into the future, we -- as I just said, we want to also more marketing with freenet. We believe there's a fair chance to sell products with higher prices to increase the ARPU, this might have a positive effect as well. Yes, that -- I mean the market is -- the competition in the market was tough in the last month. I think, is what's driven by Telefonica. So there are some changes. There were -- they announced that there will be some changes. Hopefully, this will be healthy for the market, for the industry, but we are prepared. We have many opportunities to grow our subscribers -- our marketing channels through our website, through performance marketing, through performance-based marketing, to not lose so many users by optimizing our churn. So there's really a lot of potential for us to grow. And so therefore, it also will put us in a situation that we will hopefully also be able to sell for better prices, which are more healthy for us. So therefore, we are quite confident.
Ingo Arnold: Yes. From my side, Ulrich, I think you also asked what effect does the service revenue has on our MNO contract. And yes, definitely, this is very relevant. I think in earlier times, when I started in the business, all were only focused on growth of customers, but this changed during the year. So the contracts, what we do have with the MNOs are mainly based on revenue, on service revenue. And so yes, it is important to generate service revenues, but I can only confirm what Robin said. I think that there are -- and I work in this company for a long time, I never saw so many initiatives here to increase the number of customers. And therefore, if we could combine it with a stabilization of the ARPU, I think, and you asked about '26, I have no -- I'm not afraid of '26. I think -- I'm more afraid of the fourth quarter now because this will be difficult to -- and this is what we saw during the year. But with all the initiatives, what we saw -- what we see and what we have here, we are much, much more optimistic for '26 in terms of service revenue than based on '25. Then you asked about the Media-Saturn one-off of EUR 5 million, I think this is, is it linked to the contract? Or it is not linked to the contract? My official answer is not linked to the contract. But I think it's definitely only -- it's only a one-off and it is not by accident that the one-off happens in the same year when we renewed the contract. So -- but this is something that will not happen again in the next years. And what happened -- what has not happened again in the last years. So therefore, it's a typical one-off. It is not typical. I think we have other payments what we do pay -- what we do grant to Media Saturn, but this is definitely a one-off.
Ulrich Rathe: Ingo, can I just sort of follow on this comment, which you put into a sub-clause that maybe you're afraid of Q4. Could you just for clarity, explain what you meant by your afraid of Q4?
Ingo Arnold: Yes. I think what we see at the moment that is that the service revenues are growing, and we are happy that they are growing, but they are only growing by small euro effect. And so -- can I be 100% sure that in the fourth quarter, it is plus EUR 3 million or minus EUR 3 million? No, I cannot be 100% sure because the effect, the positive effect is not that big that I do have a lot of headroom. So -- and this is the -- I do expect stable service revenue for the fourth quarter to make it very clear here and to clarify it. So thanks for your question. But what I do expect for '26 is that we are not only see a stable service revenue but a growing service revenue.
Operator: And the next question is Siyi He from Citi.
Siyi He: I just have a question on this redefinition that you put through on the adjusted EBITDA. I think now your adjusted EBITDA is including [indiscernible] sales and restructuring. I'm wondering if you can talk us through the thinking behind that. And also, it seems that the adjustments led to around EUR 10 million uplift on your 2014 EBITDA, but you decided to not change the full year guidance of '25. I want to understand the thinking behind that as well. And finally, just on the free cash flow bridge, you have kept the free cash flow guidance unchanged. But it seems that the CapEx guidance is now reduced from EUR 55 million to EUR 35 million. I want to check if that is a sustainable reduction on CapEx.
Ingo Arnold: Yes. So thanks for your questions. I think the -- what is the reason why we started to report an adjusted EBITDA at the beginning of '25 or -- in '24. What we saw were from the sale of the IP addresses. We saw a very positive effect, and it was the idea to show an adjusted EBITDA, which is really based on the ongoing business. So then this year, we had a similar effect from the sale of these IP accounts. And in addition, we had the sale of The Cloud. And so this was also a positive effect in the EBITDA, which we wanted to correct. So I think we were -- we were very open here, and we were very transparent and corrected the EUR 25 million of positive effects this year. On the other hand, what we saw were that, and you all know that we reduced the number of board members here. And we saw a -- and the restructuring, the amount of EUR 6 million is more or less only the payments, the severance payments, what we had to do to the leaving Board members here. So this is definitely also a one-off. And in the thinking, what I was describing before to only show the ongoing business. Therefore, we decided that we use the adjusted EBITDA to correct the EBITDA by the effects in both directions. And so therefore, I think we changed it. Then you had a question about the full year guidance. And yes, you are correct that there was a -- that with starting putting all the effects in the -- on the adjustment list we had also to adjust the year 2024. And you asked if, therefore, the guidance should be increased. My answer is that we do not guide a delta to the year before. What we guide is an absolute EBITDA amount for the year, and we calculated the EBITDA for the year, which was from the beginning, something between EUR 520 million and EUR 540 million. So with a change of EUR 24 million, we do not change our guidance. Your question to the cash flow bridge. Yes, you are correct. To reach the full amount of the bridge and to have a comparable amount to what we forecasted at the beginning of the year, we had to reduce the CapEx compared to what we forecasted at the beginning of the year. I think we expect, especially from the radio business -- from the digital radio business we expected more spending during the year. This has not happened. It is not -- it was not necessary during the year, and it will not be possible to catch up here in the fourth quarter. So from my point of view, the EUR 35 million, what I said is I think this is a strong figure, and I do not see any big risks here.
Operator: The next question is from Florian Treisch, Kepler Cheuvreux.
Florian Treisch: I have 2 questions. The first one is for Robin, I mean in the Q2 -- sorry. In the Q2 call, you made very clear that you want to change the marketing strategy, the customer journey. I mean, this is what you have underpinned today with the presentation. So my question would be a bit when do you really expect, let's call it, first tangible impact. I mean you mentioned in the presentation that they are first positive signs. But to really make a difference, is it fair to assume that this will only happen over the course of '26 and how relevant is the closing of the mobilezone transaction to support that journey. The second question is on waipu.tv. I mean you have seen an improving momentum in Q3. So the first question would be how much of that is driven by lower headwinds from the O2 shift. And you flagged high confidence in a good finish to the year. Can you also quantify your expectations here? And do you expect this momentum to stay as strong as in Q4 entering 2026?
Robin John Harries: Yes. Thanks for your question. Regarding the impact, so we could already experience the impact in Q3. So far, in Q3, we only did 1 campaign. It was a short campaign, was 2 weeks brand campaign. So I mean, it's just like 1 month out of 3 months. So therefore, the impact is not so big. But if you just isolate this campaign, and if you look at the visit uplift, it was very strong. The conversion rates were very strong. We improved the user experience on the website for klarmobil and also the sales numbers. This was a very successful campaign. And we just started the second test in October. And also, again, a small test. That's how we do it. Yes. First, we shoot with bullets. And then with cannonball balls. At the moment, we are still in the stage of shooting with bullets. So we do small tests, but they are already very promising. And yes, so also for the plan for next year, we then scale their investments, but they are performance based. That means that it's not that we are burning money. If we scale the investments, this will be also lead directly to more sales, so positive impact. And at the moment, we just do the first test with klarmobil. As I mentioned, we are preparing the freenet.de domain, will be done beginning of next year. And then we will also scale and freenet together with klarmobil. So most of the impact will come next year and also this year, but also for Q4, we are -- I mean, if you improve the conversion rates on the website, you'll see directly a positive impact because visits are rather going up. End of the year, we have some nice campaigns. And then it's -- at the moment, it's a little bit, but most of it, you will see in the -- over the course of next year. This was your first question then you asked for mobilezone. I mean, mobilezone, they -- it's still not closed. I haven't checked their conversion rates. And so their return on ad spend, how they do it. If you look at top line numbers, you can see that they are very successful. They have strong brands, Sparhandy is a strong brand, Deinhandy is a strong brand. They -- I think they do a very good job. They have good -- they have a good performance. And yes, after closing, we will look into how we can benefit from it. I'm sure that there are synergies. If you look at allocating resources, if you look at positioning of brands and all that stuff, this will be, I think, healthy for us and for the market. Regarding waipu.tv, there was -- still impacted by the end of the partnership with O2, yes -- old O2 users are churning. But even though we are growing and if you look into Q4, we anticipate that there will be a much stronger growth than in Q3. This will, I think, a strong quarter. There is -- I mentioned that they just started campaign for the strong starter package, then we have some campaigns where we bundle it together with mobile plans. This also makes a lot of sense. Then there's a Black Week. We are quite confident that we will see a nice subscriber uplift in Q4.
Operator: And for the moment, the last question is from Simon Stippig, Warburg Research.
Simon Stippig: First one would be, I wonder about your long-term guidance, 2028 or your long-term aspiration in 2028. Because certainly, by your acquisition of mobilezone and Germany segment, you should get a bump in growth. And you also mentioned the marketing contracts. Longer term, you could cancel in 2026 as I understood it. And then additionally, you expect from your campaigns quite some growth in the next year and beyond, hopefully. But on your presentation, you kept your longer-term aspiration in 2028 unchanged. So can we deduct anything from that? Or will you review that in due course? And then secondly, tied to that is the financing of the transaction. You mentioned you will or you will debt finance it and you have a bridge loan in place. But then you will receive around EUR 150 million in H1 2026 from the CECONOMY sale of your stake. And will you then lever up a little bit from your 0.5x net debt to EBITDA currently? Or do you intend to use that cash for financing the transaction. And lastly, I saw until the end of October, you bought back EUR 60 million in shares. Will you continue to buy back shares until the end of the year and then you stop or will you continue to purchase back shares until you have fulfilled the full volume of your EUR 100 million.
Ingo Arnold: Yes. Thanks a lot for your questions. I think, yes, I think maybe in all levels, the long-term guidance could be different, and this is normal during the years. But I think what is important for us at the moment is that we stick to the whole amount to the EUR 600 million of EBITDA, for example. So we stick to the guidance 2028. I think we -- earlier or later, yes, we have to recalculate the levels and have to decide if it could be even more than EUR 600 million or if there could be changes between the levels and between the effects. But from our point of view, the most important thing is at the moment that we stick to the guidance. And yes, definitely, we will recalculate it during 2026. And then we -- maybe I think we have not decided when we give an update to the guidance 2028, but I do expect it for 2026, whenever in 2026. And then I think we -- all your points are correct. But I think this does not change the big picture for now or this does not make it less probable that we reach the guidance, it makes it even more easier to reach the guidance. So therefore, I think during 2026, we have to think about it internally. We have to -- have our discussions and then we will come back to you and to the market definitely. Then you asked about financing of the transaction. We use a bridge loan, which has a duration of 12 plus 6 plus 6 months. So we are not in the hurry to refinance it at the moment. But we do also have some promissory notes due in November. So what I would expect for the first quarter is a transaction with promissory notes where we refinance our debt. And yes, there's the chance that we partly repay the debt by the EUR 150 million. What we could get from CECONOMY, and we hope that we will get it during the first half of the year, and this will only change the volume of promissory notes, what we would do. So at the end of the day, there will be a slight up on the leverage. This is what I would expect. If we spend EUR 230 million on the one hand and if we do get EUR 150 million on the other, there is a slight increase, but I think this will not change the world. Concerning the share buyback, yes, you are correct. We spent something like EUR 59 million at the moment. So nearly EUR 60 million. And we announced during the year that we will pay at least the EUR 60 million, which was the cash overhang from 2024. So we spend it now. I think we will look into the cash flow development during -- until the end of the year. If there will be some room then we would invest more. If there is no room, then we would stop the program at EUR 60 million. But I think this is not clear. We have no final decision. We will decide based on the cash development in the fourth quarter. But I think we have done the EUR 60 million. So from today's point of view, I would not expect any additional share buybacks during the year.
Simon Stippig: Okay. Great. And maybe if I can one follow-up on the bridge loan. Could you tell me the conditions of the bridge loan, like what you're paying there and interest costs?
Ingo Arnold: I think they are relatively lower than what we pay in other instruments at the moment, but this is -- it is difficult to say what the margin on a bridge loan is because I think this is typical for a bridge loan that in the first 6 months, you pay much lower rate than an average market rate. And if you use it for longer, then it's getting more expensive. So I think the main information is that at the moment, it's much cheaper than what we pay on our outstanding promissory notes.
Operator: And the last question is from Dhruva Shah, UBS.
Dhruva Shah: Just a couple on waipu.tv. So it's clear that you expect an acceleration into Q4 of around 180,000 net adds to meet the EUR 2.2 million guidance for the end of the year. But one bigger picture question is just how do you see the competitive environment in the IPTV market? And then perhaps more specifically, if a large part of the growth you expect is going to be driven by the lower ARPU entry-level products or the bundling with klarmobil, how do you weigh up the balance between financials or ARPUs and volume in that unit going forward?
Robin John Harries: Thanks for your question. And the competitive environment, so we believe that the product is superior. So when you look into ratings, reviews, when you test the product, it's really a fantastic product that makes a lot of sense, yes. And I think it's one of the best, maybe the best product in the market. Also, when you look at growth rates, I think it's outgrowing competition. It's really strong, yes. So therefore, I'm not afraid of any competition in the German market. I believe if we do our job, so there is no reason why we should not grow. And in terms of -- the offers at the moment is a start-up package. So -- but there is also a clear path for upselling. That means that we want to make it easier for people to switch from the old world to the new world, to experience the product, make it easy. And so therefore, it's also a product where you don't have or the channels is something where you can get to know the product. And then later, after a certain time, we will show you the -- like the entire world, the entire product you can experience it. And if you like it, you would have to pay more. So -- and I mean, I think it's normal for advertising for and promotions that you go out with reduced pricing. That's the same in the mobile world, but then you need smart upselling. I think we are quite good in it. And then there are also convincing arguments why you should do the upselling. So therefore, yes, it's -- and this is something that we have been doing throughout the year. There were always promotions and campaigns. Nevertheless, you can see that profitability went up quite nicely. And this is something that we are -- that we believe will also happen during the course of next year. We will further grow the customer base. We will further grow profitability and generate more EBITDA. So there, we are fully on track and absolutely convinced about the product and don't fear any competition in the market.
Operator: And if there are no further questions from the audience, I would like to hand back for closing remarks.
Robin John Harries: Yes. Thanks for attending our earnings call. So as we've said, we are very pleased about the quarter. We are confident about the outlook for '25. We are excited about '26, many, many initiatives. We have a very motivated team, open mindset. They show a lot of courage, they want to explore new opportunities. It's really -- it's a lot of fun. It's a very good vibe, good spirit here. And I'm very confident that we will keep delivering. So therefore, thanks for your time and looking forward to the next call.